Operator: Good day and welcome to the Nabors First Quarter 2016 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference call over to Dennis A. Smith, Vice President, Corporate Development and Investor Relations. Mr. Smith, the floor is yours sir.
Denny Smith: Good morning, everyone and thank you for joining Nabor’s earnings teleconference to review our first quarter results. Today, we will follow our customary format with Tony Petrello, our Chairman, President and Chief Executive Officer; and William Restrepo, our Chief Financial Officer, providing perspectives on the results along with insights into our markets and how we expect Nabors to perform in these markets. In support of these remarks, we have posted some slides to our website which you can access to follow along with the presentation if you desire. They are accessible in two ways. One, if you're participating by webcast, they are available as a download within the webcast. Alternatively, you can download the slides from the Investor Relations section of nabors.com under Events Calendar submenu, where you will find them listed in Supporting Materials under the conference call listing. Instructions for the replay are posted on the website as well. With us today, in addition to Tony, William and myself are Siggi Meissner, our President of Global Drilling and Engineering; Chris Papouras, our President of Nabors Drilling Solutions; John Sanchez who recently joined us as Head of our Canrig Operations; and Laura Doerre, our General Counsel. Since much of the commentary today will concern our expectations of the future, they may constitute forward-looking statements within the meaning of the Securities Exchange Act of 1933 and the Securities Exchange Act of 1934. Such forward-looking statements are subject to certain risk and uncertainties as disclosed by Nabors from time to time in its filings with the Securities and Exchange Commission. As a result of these factors, our actual results may differ materially from those indicated or implied by such forward-looking statements. Also, during the call, we may discuss certain non-GAAP financial measures such as adjusted operating income, EBITDA, adjusted EBITDA, operating income and free cash flow. We have posted to the Investor Relations section of our website at www.nabors.com a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measures. Now, I’ll turn the call over to Tony.
Anthony Petrello: Good morning, everyone. Welcome to the call. We appreciate your participation as we review our results for the first quarter of 2016. I will begin with a brief summary and then comment on our performance. William will follow with a review of the quarter's financials. I will then wrap up to take some questions. A chart of WTI in the first quarter shows a distinctive V Shape pattern. Prices declined steadily from the upper 30s at the beginning of the quarter to the upper 20s by mid February. From that point, oil prices rebounded and even broke through the $40 level by the end of March. The steep drop in prices in the first part of the quarter precipitated a forceful reduction in our customers spending plans. That impact was unmistakeable in our Lower 48 activity. The decline of big activity outside of North America and especially in the Middle East was less pronounced in the U.S. In the first quarter, Nabors generated adjusted EBITDA of $162 million. Operating revenue was $598 million. Despite stiff market headwinds, our operations generated modest positive free cash flow including working capital and after capital spending, interest expense, taxes and dividends. Results in our Lower 48 drilling business declined sequentially. That decrease was mainly due to the decline in working rates, lower day rates and to a lesser extent, normal seasonal increases in labor related expenses. We also realized lump sum early termination revenue on two of our rigs. Our rig count dropped significantly towards the end of the quarter as operators released additional rigs. Results in our international segment declined, primarily this was due to price concessions to three key customers, a reduction in rig years and some negative expense items. Nabors total revenues for the quarter were down 90% sequentially. Worldwide rig activity declined to a 188 rigs in the first quarter from 223 rigs in the fourth quarter. Adjusted EBITDA was down 27% sequentially. The decline in EBITDA was most pronounced in the U.S. drilling segment where performance in all three geographies decreased. In addition to this financial performance, during the quarter, we had several noteworthy developments. First, we deployed a new PACE-X rig to a significant customer in Lower 48 under a term contract. We’re running several additional services on this rig. Second, we commenced the marketing of our new M800 rig. This high performance rig is optimized for low density pads, those with one to four wells in the Lower 48 and international markets. Initial customer response has been favorable. We are confident we will contract the first unit in the near term. Third, we repurchased $154 million base value of Nabors debt during the quarter. We funded with these with a revolver at commercial paper. In addition to buying the notes back at a discount to face, we reduced our annualized interest expense by approximately $7 million. Now, I will share our view on the market, our strategies to managing the current market and the near term outlook. The North American customer base has been implementing deep cuts in spending since the beginning of the year. From our discussions with them, it appears they will reach their target spending levels midyear this year. A similar downward trend is occurring in the international markets although the magnitude of the reductions or unbalanced less pronounced than in the U.S. With that backdrop, let me elaborate on our view of the future. The in light of decreasing E&P spending and natural decline curves, production in many bases is already declining. Offsetting these reductions in supply are concerns about both global oil demand and incremental production from certain international producers. These factors could delay a sustained recovery in oil prices. Notwithstanding this outlook, we are in discussions with several large customers regarding their plan to increase activity when oil prices sustainably surpass the $50 level. We fully intend to play an integral role in those plans. I will now discuss the outlook. As it has been for some time, our near term visibility in the car market remains severely limited. We recently surveyed 20 Lower 48 customers representing approximately 35% of the rig count. Of those, six have plans to reduce rigs in the current oil price environment. Two have plans to add rigs later this year. The rest are flat. In international markets, customers are increasing challenged by the current environment. The reaction has been to reduce the drilling activity. In some cases, their reduction is significant. The number of customers expressing interest in increasing rigs is quite small. As reflected in our results, we see pricing pressure across all markets. With that backdrop, I will now make a few more specific comments for our larger business units. In the Lower 48, our rig count currently stands at 45 rigs including 8 rigs stacked on rate. We exited the first quarter at 44 rigs in total, including 8 stacked on rate. Of the 44 at the end of the quarter, 32 rigs are working on term contracts. For the second quarter, our rig count could average in the low 40s and exit the quarter some of below that range. We also expect the second quarter average daily margin to decline to the $6,000 level and possibly below that threshold. For our international segment, rig years totaled one ten in the first quarter. Given current trends and our outlook, international EBITDA could drop by approximately 6% to 8% in the second quarter. The majority of the expected reduction in rates is concentrated in our Latin American markets. The half of the anticipated drop is comprised of small work over rigs, which generate marginal income. With this shift in mix, our daily rig margin should improve. Primarily this results from the expected positive shift in rig mix, fully developed price concessions and normalized expenses. To summarize, general factors could further impact our results in the coming quarters. First, lower commodity prices are impacting activity and pricing in all markets. We expect further activity declines in our largest segments as well as continued pressure on pricing. The low prices are having a severe impact on some of our national oil company customers principally in Latin America. Second, the drilling market in Canada remains depressed. We expect second quarter activity to be particularly low even for the break-up quarter. Third, in our international segment, we expect activity to decline and further impact results. However, the rigs we foresee coming down should drive a positive shift in mix. This could support higher margins in the second quarter. Next I will review the strategy, which will we use to navigate through this environment. First, we remain committed to reductions in spending. Those are in the areas of direct costs, deal support and SG&A. Second, we continue to realize incremental revenue and margin from our portfolio of additional services. We are running two or more services on about two thirds of our U.S. rigs currently. Third, we expect our technology initiatives to result in near-term revenue and to create a sustained competitive advantage in the next upturn. Fourth, our capital discipline is unwavering. In the first quarter, our net debt decreased modestly even as we funded our semi-annual interest payment. Finally, our focus on operational excellence is relentless. Thanks to efforts across the organization, we are achieving record low rig down time in the U.S. We are now six quarters since this downturn. Signs of an emerging supply demand balance in the oil market are beginning to emerge. While we do not yet see tangible evidence of the recovery and activity, we are beginning to correct the anecdotes, which could point to the recovery late this year going into 2017. We believe the recovery will be modest initially and could accelerate as commodity markets rebalance. We expect demand for high performance rigs to increase at first and for pricing that segment to react accordingly. As well we would expect the restoration of temporary pricing concessions agreed to with our international customers. This concludes my outlook comments. Before, I turn the call over William for his comments; I’d like to address two other topics, C&J Energy Services. Before I talk about our investment in C&J, I would like to say a few words about Josh Comstock. We were shocked and saddened to lose our friend and business partner, Josh Comstock. Josh was proud of the company he built and rightfully so. He had a personal magnetism and a presence that made him larger-than life. His pride and passion for C&J was infectious and engendered deep loyalty and commitment from his colleagues. He will be missed by all. In the current environment, C&J’s existing capital structure is in consistent with the company’s current earnings power. We will continue to evaluate the situation and our options as the company’s largest shareholder. Balance sheet and capital structure. We are intensely focused on our balance sheet, financial strength and liquidity. The steps we took during 2015 bolstered our financial position, most notable with the extension and upsizing of the revolver and the addition of the term loan. Our near term debt maturities include $350 million later this year and our next maturities are in 2018. As of the end of the quarter, we had an $80 million balance on a revolving credit line and $10 million of commercial paper outstanding. Our intention entering 2016 was to maintain free cash flow neutral or better performance. With the recent decline in global activity, this target has become more difficult. Notwithstanding the current environment, we believe we have adequately prepared the company for this market and have sufficient sources of liquidity in place. This concludes my comments. William will now review the quarter’s financial results in more detail and provide additional thoughts on the outlook.
William Restrepo: Thank you, Tony, and thanks everybody for joining us today. Our net loss from continuing operations for the first quarter was $396.6 million or $1.31 per share. Included in the first quarter results were losses of $316.6 million after-tax or $1.12 per share, related to our portion of C&J’s earnings with a one quarter lag and a further impairment of our C&J investment. These amounts compared to the loss we recorded in the fourth quarter of $45 million or $0.16 per share. Our core businesses excluding the impact of C&J delivered a loss of $0.29 per share compared to $0.06 in the fourth quarter. Continuing with the results, revenue and other income for the quarter of $598 million decreased by $141 or 19% sequentially as the drilling business continues to deteriorate sharply in North American and to a lesser extent in international operations. Revenue in our international segment decreased sequentially by 11% as we had anticipated we saw the impact of lower commodity prices on our clients drilling activity with a significant number of rigs placed on standby or released. We also experienced erosion as we granted pricing concessions to three major customers effective January 1. The impact to the first quarter of low activity levels was a net seven rig reductions in average rig count. Our revenue in the North American drilling market fell sequentially by 33% driven primarily by 40% falling rig count and by weaker pricing in the Lower 48. In Canada, our rig count declined sequentially reflecting the new drilling activity during the high season. Adjusted operating income dropped quarter-on-quarter by $46 million to a loss of $54 million. All of our drilling segments declined. Our adjusted EBITDA for the quarter of $162 million dropped sequentially by $61 million or 27%. The decline and EBITDA was most pronounced in our U.S. drilling segment. Let me turn to the key performance metrics from the first quarter. First, the U.S. drilling business, the quarterly averaged Baker Hughes line rig count declined by nearly 200 rigs or 27% from the prior quarter. Our own Lower 48 average rigs declined to 54 for the same period, a 30% decreased. Daily gross margin in the Lower 48 decreased to approximately $7,400 from $10,300 in Q4. However, both quarters include early generation revenue approximately $700 per day in the first quarter and approximately $200 per day in the fourth quarter. Further, the fourth quarter figure includes year-end savings related to workers’ comp and vendor rebates. Adjusting for these categories, the comparable daily margin was approximately $9,200. The normalized sequential decrease of about $2,500 per day was attributable to lower average pricing to the higher weight of our field support structure on a much lower volume and to the usual first quarter reset in labor-burdened taxes in the payroll taxes. As the year progresses, we expect the term contract rollovers at lower day rates will continue to compress daily margins. In the second quarter, we anticipate a reduction in drilling margins of up to $1,000 per day versus the normalized first quarter margin. Utilization in the Lower 48 continues to vary significantly by rig type with the highest utilization in on our most capable rigs. At the end of the first quarter, 62% of our PACE-X rigs were on revenue, the highest utilization rate for any other rig categories. In Canada, their normal peak drilling season was dampened. It also ended early and abruptly. Our rig count declined sequentially by almost 2 rigs. Our daily margin declined by almost $5,900, in part due to customer payments for commitments on minimum annual activity received in the fourth quarter. In our international segment, first quarter rig count totaled 110.5 rig years down from 117.5 in the fourth quarter, slightly less than the decline we anticipated in the fourth quarter earnings conference call. Average daily cash margin in international business widened slightly by almost $200 to $16,500. This increase was lower than our expectations as negotiated price reductions involving a total of over 50 rigs in multiple markets took effect at the beginning of the year, several months earlier than we had anticipated. In terms of cash generation, we once again remain cash flow positive during the first quarter. Our net debt fell by $18 million. We reduced total debt by approximately $71 million and ended the quarter with $2.17 billion undrawn on our revolving credit facility. Despite the difficult operating environment in the US, we continue to focus on our initiatives to remain free cash flow neutral. First, we maintain strict control over our capital spending. For the first quarter, capital spending totaled $115 million. For 2016, we are targeting capital spending of just over $400 million, roughly half of that amount for maintenance CapEx and the remainder for contractual new build commitments and international awards. We are committed to deliver a new big rig in Alaska and the completion of our handful of our newest technology drilling rigs. Second, we are now deep into another round of G&A expense reduction. We are targeting a further $20 million annualized reduction from the fourth quarter level. We are also targeting continued reductions in our fuel support cost. The third initiative is managing our direct costs. The largest reduction in activity has taken place in our lower 48 operation, we remain focused on aligning direct operating costs with activity levels and we have continued to reduce field staffing as we staff during rigs. Looking forward with prospects for a continued and favorable environment, we remained focused on generating free cash flow through 2016. Our current rig count in the lower 48 is actually up by one unit since the first quarter exit rate. However, we expect that the second quarter average will be flat with a current level at best and with a significant likelihood of further deterioration. We also expect reductions in activity levels in our Alaska, U.S. offshore and Canada markets. Finally, our international market has now proved immune to this long-lasting low level of oil prices. We have already dropped almost 20 rigs from our peak in 2015 and continue to experience pressure on both rig count and pricing. We believe that an additional 10 to 12 drilling rigs are vulnerable in the current market environment along with a handful of low contribution work over rigs because we cannot count on increased activity for the near term in the U.S. or elsewhere. We will continue to focus on controlling our overhead, our operational cost and our capital expenditures throughout the remainder of the year. With that I will turn the call back over to Tony for his concluding remarks.
Anthony Petrello: Thank you, William. I want to conclude my remarks this morning with the following summary; markets declined broadly in the quarter. Our own international business was shy of our own expectations. We think of it is important to keep the actual performance and perspective however. Run rate EBITDA in our international business exceed $0.5 billion. This is in a down year. Our U.S. drilling operations well depressed or expected to generate positive EBITDA for the balance of the year and more than $100 million for the full-year. In the face of this market, we are pursuing our technology initiatives. Along with our streamlined organizational structure, we are positioning the Company to emerge in the downturn in a significantly stronger market position. As always, I look forward to updating you on our progress. That concludes my remarks this morning. Thank you for your time. With that, I will take your questions.
Operator: Thank you, sir. We will now begin the question answer session. [Operator Instructions] The first question we have comes from Marshall Adkins of Raymond James. Please go ahead.
Marshall Adkins: Hi, guys. Thanks for all the color. I'd like to get a little more detail on the international side, if I could. We are hearing a lot of tough things from Latin America. You mentioned that it's been a week so far or you expected it to be. Tony, could you give us a little more color on specifically Colombia, Venezuela and Argentina, where you have a pretty good collection rigs, what's the outlook there and is that where we should see the biggest fall-off in the international drilling rigs, not just work over rigs?
Anthony Petrello: Okay, that's a fair question. Let me just try to give more additional color on international generally including what you just said. So, we did have significant issues in Latin America, specifically in two countries. In Columbia, all of our rigs went on standby in the quarter pending customer conversations. We ended up as we negotiated our contracts with the state oil Company. We now expect half of our rigs to go back to work at the full original rate over the next several weeks and the other half will start under contract at the end of the year in both cases all of the rigs, all the rigs have had their contract terms extended an additional year from the original returns that was how we worked it out, but it took a lot of effort and that was a large hit during the third quarter. In Mexico, we've experienced an additional drop in activity. This obviously had a big impact on Q1. We now expect additional impact Q2 spending in the countries contracted dramatically. I think you have seen that across the industry. So, I think you are aware of that. In Argentina, we think it's sort of steady right now. What's at risk there is we have a bunch of work over rigs, which don't meaningfully contribute. So, I think those are at risk in this environment and just looking at it from a profitability point of view as well. So, I think that's a risk there. In the Middle East, we had a two Jack ups in the contracts late last year. The good news was that we renewed one of them 657 and we're still working on the second. The renew terms on the first one dictated some idle time and additional expenses to fill it back into the operator's plan. So, that's why the quarter didn't benefit from that as much. In addition in Saudi, we had to have another round of price renegotiations and that was modest, but those were sold in the quarter and will be applicable for the year. In terms of activity in international, we also have the rigging equate and a land India and frankly in the quarter we did have some unusual operating expenses, most of this related to unfavorable rig moves and repairs. So, what does all this mean? Let’s wrap it up. Looking to the second quarter, I think our daily rig margins should approach back to the third quarter last year level, which is where we thought we were going to be this quarter. There are too many drivers to that and the thing that we have to focus on to make sure it happens are lower expenses. So, we don't have unusual costs, and a shift in mix as William discussed in remarks. The mix including those work over rigs getting out of the rig count shift drive more as well. As we moved overall, there is more deterioration rig count possible in the rig years, but when you pick it up, some of that won’t grow, looking at the second quarter, where we think we are is, EBITDA in the international segment to decline maybe about 6% to 8%. That's the bottom line.
Marshall Adkins: That's extremely helpful. Just one follow-up there. The big elephant in the room here is Saudi. Are you seeing any weakness or cracking their desire to continue drilling these prices at all or is it just been price conceptions that they still want to keep drilling as much as they have been?
William Restrepo: We do, there is a process of plan to reduce rig count by about 10%. So far we haven't been mixed with that. As I indicated, we have to get the other jack of back to work. We are working on that. There's obviously a lot of competition there. The whole market is going to be subject to pressure on a 10%. I’ll ask Anthony to add any additional comments.
Anthony Petrello: Well. It’s just the pressure on budget cuts and some reduction and rigs and as you said, so far we have not been impacted.
William Restrepo: Right, that's what our mission is obviously we’re mindful and some of our numbers anticipate getting hit somewhat, but we are working to try to avoid that and try to be the preferred driller in that marketplace.
Marshall Adkins: That’s certainly good news. Thanks guys.
Operator: Next we have Ole Slorer of Morgan Stanley.
Ole Slorer: Yeah. Thanks a lot. Let me just follow-up from Marsh left it on Saudi Arabia, lot of that based about whether the rig count is going up, down or sideways. You sort of suggested the 10% reduction, but they're also new Saudi goes out there, they are thinking about increasing they're or re-engaging on some of the shale drilling that have been trying to do presumably shale gas. Though, what you have your - I mean all of these maybe pockets of Saudi drilling, do not require the same type of rig. So, how do you see these moving parts playing out in terms of your type of asset in the country?
William Restrepo: So, I think the well, the unconventional wells or the gas wells, the type of rigs that are required, basically same rigs that they are using today. So I don't think that will seek us any exposure. We are drilling one for the unconventional wells today actually.
Ole Slorer: And in terms of the rate, it would be a 10% reduction and you saw the rig count, any views on whether this would be an average slice 10% down or would it be smaller work over rigs or how do you view your positioning in context of that comment?
Anthony Petrello: I think I’m speaking – I don't want to speak on behalf of ramp, but I believe that they're going to budget cuts and for example maybe delay some price expense and a great sell of that nature, and may be rigs that come up just having immediate cost savings. I think that's the way things have been approached.
Ole Slorer: Okay. So this terminating rigs, they're coming up for contract rollover regardless of what they do. William, next question comes to you, clearly the higher focus areas on the balance sheet and your ability to constantly make it through the trough and emerge a stronger company on the other side. Could you take us through what makes you so confident that there will be no financial pressures, remind us again of your covenant on your cash generation. You said that maybe neutral cash, would that be a little bit optimistic in context of how much cash you have on hand and your refinancing needs?
Anthony Petrello: Before we have answers, let me just say overall that we have a target of running the company as close to cash flow neutral as possible. We've articulated that. And obviously with the first quarter numbers, our goal is more challenging. We can do everything we can to get to it as close as possible. There is overhead issues that we are still targeting, there is capital spending issues that we try to revisit that as well. But just looking at the quarter, I'll let William elaborate, during the quarter if you adjust for the interest payment which was $90 million which is semiannual, if you adjust for that, our free cash flow defined after CapEx and interest in cash taxes was close to zero, excluding the dividend. And obviously if you take into account working capital, we actually were positive by $20 million. So, I will let William now elaborate on why we think that is something we can navigate.
William Restrepo: Obviously, since our last conference call, the environment got a little bit worse in the U.S. certainly but also internationally. We got $20 oil price that we saw in the 20s. That being said, we said before and we continue to believe that we can still reduce our CapEx further as required and we have plans in place to reduce SG&A and overhead. SG&A alone in the $20 million range and field support, probably a similar number. So those initiatives have now been put in place to continue ratcheting down our cost as the activity levels warrant. So that's where we are confident. We think we can be very close to neutral in operating cash flow and free cash flow. I'm sorry even without the impact of working capital. Working capital is just over the hump. In the first quarter, for instance as Tony mentioned, we missed net debt by almost $20 million but we had a $90 million semiannual interest payment. That means in the second quarter, we don't have those interest payments. So that's why we are confident that we can finish the year without materially increasing our net debt. And hopefully, I’m targeting to even reduce it if we can. So that's the first piece. The second part of your question was with regards to covenants. The revolver only has one covenant which is 40% equity to total book cap. So we feel very comfortable with the revolver, the revolver is about $2 billion and frankly, it does cover all our maturities through its expiration whatever at that maturity, assuming the markets will close in 2018 or 2019. The revolver would allow us to meet all of those commitments and have significant money left over to meet any other unforeseen that come along. So we feel pretty comfortable throughout this downturn, we work very hard to get in this position and now we're not becoming complacent. We'll continue making sure that we don't burn cash. But we feel very comfortable with the support for [indiscernible] overall at this point.
Ole Slorer: Yes, Will and Tony, thanks for going through that one more time. This is a big focus at the moment. So I think it can be said that [indiscernible] but thanks for highlighting this.
William Restrepo: Thank you for the opportunity to making it clear everybody. Obviously for us it’s high on our list as well. We spend a lot of time trying to make these things work that way, to be more articulated. So it's core to what we’re doing right now.
Operator: And next we have Jim Wicklund of Credit Suisse. Please go ahead.
Jacob Lundberg: Hi guys. This is Jake on for Jim. First question, you mentioned that there was a possibility for some of the international price concessions to come off once the market started to turn. I was just wondering if you could give a little more color on that, maybe in context how big are some of those price concessions that would come back across the portfolio, and maybe if you can put in terms of average day of margin uplift or however you guys are looking at it.
Anthony Petrello: Overall, maybe 7% of revenue something like that.
Jacob Lundberg: So, that's 7% of revenue?
Anthony Petrello: Yes.
William Restrepo: By area.
Jacob Lundberg: Okay. And then just touching on the notes that you’ve repurchased during the quarter, I guess just some small detail question, which maturity was that? And second of all within the context of it, how are you guys thinking about your priorities for uses of cash through the downturn?
William Restrepo: We purchased – we focus on the earlier maturity, sales within the life of our revolver. At this point, we're not comfortable consuming the liquidity as a revolver at that time along with the one that dated senior notes. And as far as the cash, as I said before, we do have a certain amount of maturities coming up within the next couple of years. So that is the first priority of the revolver that we have some money left over from those amounts. And at this point, again, we are very focused on preserving our cash and to ensure that we don't go into a rebound on capital expenditures at this point or any M&A activities. We don’t have any in the pipeline today. So the uses of our cash are mainly to meet our obligations and make sure we have sufficient liquidity to take us through the downturn.
Jacob Lundberg: Okay, that will be it for me. Thanks guys.
Operator: Robin Shoemaker of KeyBanc Capital Markets.
Robin Shoemaker: Thank you. Tony, in your comments you mentioned something about anecdotes that may be signaled a little more positive direction in the rig market. Did I miss here that or is there anything you could share with us regarding that in the second half of the year?
Anthony Petrello: Sure, let me just maybe elaborate a little bit on the lower 48. In general, I’d say we are still cautious about the lower 48. We expect sequential deterioration of the rig count and daily margins in the second quarter. And still given what's happened with OPEC, inventory levels, global productions, we are not prepared to call the bottom to the rig count. Our own rig count has developed to be stable over the past month or so. So we think that as the sign of the rate of decline may have peaked. With respect to the specific comment, we have had discussions with several major operators about what plans can be made for potential upturn activity in the second half. Still don’t know what the contingency plans are, we are talking to them about contagious plans, how fast things to be reactivated et cetera. So there are a number of operators have contacted us about that. But I want to say this does remind us, if you go back to the last summer, we comment the same thing and actually we took those comments to the point where we actually started doing stuff. And that's why we got out in front of ourselves a bit of ahead state there. So we are going to be a little more guarded here, but those discussions have occurred with several operators.
Robin Shoemaker: Okay. So, in terms of – were they talking about this as a second half of 2016 or was this further out in terms of these conversations?
Anthony Petrello: Second half, third, fourth quarter, like, middle of third quarter, fourth quarter, kind of discussions. Obviously, with the ramp up on both sides, they have some ramping up to do, we have some ramping up to do and they want to know how fast and how many rigs, et cetera, will be possible. That sort of thing.
Robin Shoemaker: Yes. Okay. That's very helpful. Thank you.
Anthony Petrello: Sure.
Operator: And next we have Byron Pope of Tudor Pickering Holt.
Byron Pope: Good morning, guys.
Anthony Petrello: Good morning.
Byron Pope: With regard to the U.S. Lower 48, it seems as though most of their rigs that you have contracted today or AC walking ribs which I would assume that skewed toward the basic rig. So I think you mentioned a number of rigs that you had term contracted in Q1. Could you share with us in ballpark terms for the remainder of the year roughly how many of the rigs that you have term contracted?
Anthony Petrello: Denny, you have that information for me?
Denny Smith: I should.
Anthony Petrello: Yeah, by the end of the year, I think, we should have about – exit the year with 15 rigs on term contract right now, basically. So it's kind of a stair step – pretty even stair step down for the rest of the year.
Denny Smith: The end of Q1 was 33 basically.
Byron Pope: Okay. I appreciate the guidance with regard to Q2 for U.S. Lower 48 as I think about the moving pieces and the day rate and the cost side, it currently seems as though roughly 20% of your rigs that are contracted or stacked on the rate. So I'm just trying to think through of the sequential up to $1,000 per day decline in feed average margin for the U.S. Lower 48. Is that fairly balanced between the cost side of equation and day rates including Lower? I'm just trying to think through the dynamics there.
Anthony Petrello: Yes, it's pretty good. More day rate, I would say.
Byron Pope: Okay.
Anthony Petrello: From rollover.
Byron Pope: Okay. Thanks, guys.
Anthony Petrello: Yeah.
Operator: And the next question we have comes from Sean Meakim of JPMorgan. Please go ahead.
Sean Meakim: Hi, good morning.
Anthony Petrello: Good morning.
William Restrepo: Good morning.
Sean Meakim: So we talked a bit about central recovery for U.S. customers. On the international side, any sense of the customer response in terms of potentially reactivating rigs perhaps in 2017, just curious if you think if there was an uplift in activity could be more limited to the Middle East or if there are other areas where you think you could see some uplift?
Anthony Petrello: Siggi?
Siggi Meissner: I mean we talked earlier about the Columbia. I mean as far as we know Columbia is going to go back to the more normal in terms of that, so that will be increased in Columbia. And then there are several projects in the Middle East that basically are in the short status right now that we could see coming back.
Anthony Petrello: That would include Kuwait.
Siggi Meissner: Kuwait, Saudi, maybe some other places. There’s pending projects, it does need to get reactivated.
Anthony Petrello: Similar comment in Algeria, I would think as well.
Sean Meakim: Got it. Okay. That makes sense. And then just thinking about the notes repurchase during the quarter, can you give us a sense of the magnitude of the discount at which you purchased them?
William Restrepo: The discount is in the range of 5%. I mean we refocused on the early maturity and picked up from those. Obviously, the pricing on those bonds has now come up quite materially and they are all trading around 99, even over 100. We have stopped those purchases at this point.
Sean Meakim: Okay. That's helpful. Thank you very much.
Operator: The next question we have comes from Dan Boyd of BMO Capital Markets.
Dan Boyd: Thanks, guys. I appreciate all the color internationally, just had a couple of follow-ups there. You talked about 50 rigs have repriced. Can you give us any color on the ongoing negotiations on the other 50 rigs that you have active in Q2?
Anthony Petrello: There is no negotiation ongoing right now, nothing really substantial, there’s nothing really ongoing. So this was really a big activity at the beginning of the year when the customers wanted to basically extend their discount that they gave in 2015. That’s pretty -- was at the beginning of the year. There's nothing really significant on going right now.
Dan Boyd: Okay. And then I just wanted to clarify some numbers, if EBITDA is going to be down 6% to 8% internationally and margins can go back to 3Q levels, that implies a 15 to 20 rig decline internationally in 2Q. Is that – do I have the math right there?
William Restrepo: Including work over rigs, which would be about half of that, that would be about right. As William said in his remarks, he gave a number for drilling rigs, decline in drilling rigs, there was about to be work over rigs which maybe don’t contribute much.
Dan Boyd: Okay. Thanks.
Anthony Petrello: So when I say 10 to 12 rigs that are vulnerable, I didn't mean that those opt on April 1 by any means. Some of them may not drop at all, but we are just saying based on the clients and the type of contracts, that’s – what those clients are doing currently to reduce cost. That’s how we see the exposure.
Dan Boyd: Okay. Thanks.
Operator: Next we have Michael Lamotte of Guggenheim.
Michael Lamotte: Thanks, guys. I just want to follow-up on the international side too from the standpoint of moving pieces. I am wondering if there's any emphasis or impetus on the part of the NOCs to go through any rig upgrades, anything from a mix standpoint that you can speak to in terms of high grading potentially?
Anthony Petrello: So in the Middle East, as you know, the two projects, the gas projects all require rigs that don't exist in the marketplace. So by definition they are kind of new rigs. They want 3,000 horsepower rigs with huge VLPs [ph] at a price level that don’t exist today [indiscernible] Kuwait. In Columbia, as you know, we relocated an X rig down there, which was a new state-of-the-art walking X rigs. And I think they are really happy with the performance on those rigs in fact we’ve had some initial – really good success with them. So I think over time there will be an interest in more of that kind of technology. But in the short-term, I don't see a big shift right now.
Michael Lamotte: Okay, thanks Tony.
Operator: We have Angie Sedita of UBS.
Angie Sedita: Thanks. Good morning, guys.
Anthony Petrello: Good morning, Angie.
Angie Sedita: So, Tony, on C&J, if conditions continue to be challenging here for pressure pump and can you talk a little bit about what do you think your options are for the company and would you be willing to support the company with an influx of capital if needed? Can you just talk about various scenarios as far C&J?
Anthony Petrello : Angie, I actually I can't. What I can say is he the following. First of all, in terms of just looking at the Company from a macro point of view, right now as far as I understand, they’re probably number two in hydraulic horsepower, in the active market today. They’re number one actually in the [Indiscernible] which is amazing to me. They are number two in work over, and number one in welding. The overall position of the Company it is really – it is built well. I have said publicly that I don't think putting any additional equity into the existing capital structure and the current capital structure doesn’t suit the business. In particular all the pressure pumpers out there, I think this period of time really kind of de-stabilizes to these guys because it is forcing them to [Indiscernible] ramp up occurs everyone’s going to lead a lot of capital for the ramp-up, etc. So, I think whatever happens here with C&J, it needs to have a restructure balance sheet. What role we can play in that is open and we will just take it as we see it.
Angie Sedita: Okay. And then separately, you want to talk a little bit further about your version of the U.S. land rig future and your thoughts there on new construction timing and investor interest in design.
Anthony Petrello : Sure. On the M800, which we recently announced, we are hoping to get one of those active in the marketplace during this quarter, at the end of the quarter maybe and I think the rig is targeted to the part of the market of the [indiscernible] is not the, in other words once the four wells is fast moving, has more racking capacity, hydraulic horsepower and will move in two days. So, compared to any other rig out in the marketplace today, I think on all those metrics, which are important to operate. I think it will surpass any of them. And it's our first step in a long line of creating a platform for integrated services on the rate, for things that are logical for drilling contractors to take responsibility for likely articulate our vision. There's some things service Third Party service [indiscernible]. Third part services today from other companies in the marketplace. That will be incorporated in the right direction of the drilling. We are looking not to just do directional drilling, but to actually change the way it's done by building it into the rig and trying to downsize the numbers of products that you have on the rig, not just downsizing bodies, but doing it better by automating the process itself. So there's a bunch of these initiatives. We're trying to show them to the operators and seeing if we can get some interest in businesses. Several other services are bound to the rate that again third parties do that we are targeting as well. So, we have a full scale effort now. Have to do this and this here, we think e can grow and we will be measuring it by dollars for rig of extra services. That's where we go. And over time we like that to be a meaningful number.
Angie Sedita: Okay. And then how many rigs do you have under construction today, one? And then two, do they fall under construction range that your standard rigs do or modestly higher or your [indiscernible] per se?
Anthony Petrello : Right. This M800 rig, we just finished this one. We have two more M800’s in process and the all in cost is going to be, the all in cost of the rig compared to the x rig, is not really any more expensive actually to be less. And because of these ones in the pipeline they are actually significant that’s because we have we have a lot of components in the pipeline from previously new built plans. So, it will be another big increase in our CapEx to complete them. So we want to get a couple of them into the market and show customers the value of proposition to build it and be prepared for the up cycle. That's the strategy here. That's what we're doing for the rest of the year.
William Restrepo: Andrew we have shifted a lot of our manufacturing of the rigs overseas to certain low-cost environments. So, that’s allowed us to keep the M800 at a cost that matches the pay tax and even a little bit lower than that. So that is the good news. The other thing that Tony was mentioning was on the M800, we do have our new control system, which automatically provides the instrumentation that Tony was talking and integration with a bottom hole assembling. So, there is a lot of exciting things in that rig. I think their customer interest has been about a size I have seen in any of our rig categories. So, we are very excited about it.
Angie Sedita: Great. That's helpful. I'll turn it over.
Denny Smith : Mike, this is Denny. We are getting close to the one hour limit. Let's take one more question please.
Operator: Yes sir. The last question will come from Jud Bailey of Wells Fargo.
Jud Bailey: Thanks, good morning guys and thanks for squeezing me in.
Anthony Petrello: Good morning.
Jud Bailey: I wanted to circle back and clarify something from your first-quarter results from your international business if I could. You've all done a really good job executing and meeting expectations there, so I wanted to just understand, was the disappointment in the first quarter, were the price concessions larger than you anticipated or did they start sooner, where they more retroactive or did you take more of them? I just wanted to get more color on what may have surprised the down side there in the first quarter for your international business.
Anthony Petrello: I think it was more of a timing issue, the effectiveness of the issue. And in the Columbia, you know just managing that process, we put a lot of effort into it. And I think the result we achieved was the good result. But it just took a toll that was unexpected by the time we actually got it done. So, both were more timing issues than this one. The only other miss I would say is the planning on some of those 657, which is part and parcel that is inherent in the business we are in, where these things just don't always align perfectly. Unfortunately, that didn't align perfectly. But again, we are really happy that we actually got a jack-up signed in January, which compared to the surveys and the other people out there, you know how hard that is to get that. It is a sign of their confidence in us that they are willing to do that. Just navigating, fitting it into the world program the right way and coordinating with the shipyard, etc., I think we fell a little short of where I wanted to be.
Jud Bailey: Okay.
Anthony Petrello: Like to say, this is one of the first times in quite a while that that's happened. So, everyone knows we have to be really focus and try to do better. So, the message is pretty clear here.
Jud Bailey: I appreciate the color there. My follow-up is when you look at international business now, you've taken price concessions on roughly half your fleet, your Latin America rig count is bouncing around at pretty depressed levels already. You've given us pretty good guidance for the second quarter on where you think EBITDA those. Can you help us try to figure out when you think perhaps, if build prices stay here or start to move higher, when should we think about your EBITDA internationally stabilizing? Does that happen by the fourth quarter, is it the third quarter, is a little bit later? Is there a way to think about moving parts on when we might see EBITDA internationally stabilize?
Anthony Petrello: On that I have a crystal ball for the second half. I really can't get into the specifics because this really does remain - this obviously as you know rigs been on priced oil. We are going to be really working aggressively to maintain our market position everywhere. So, we think that things could - maybe by the end of the third quarter, you'll start to see something improve. Again, it's so macro dependent right now. I think anybody would just be guessing.
Jud Bailey: Alright. I appreciate it. Thanks guys.
Denny Smith: Mike, with that I'll have you close out the call. We just want to thank everybody for participating. If we didn't get to your question, just feel free to call us or email us. And we will get back to you as soon as possible.
Operator: Thank you sir and to the rest of the management team for your time. The conference call is now concluded. At this time everyone, you may disconnect your line. Again we thank you all for joining today's presentation. Take care and have a great day.